Operator: Good day, ladies and gentlemen. Welcome to the Comstock Mining First Quarter 2017 Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Corrado De Gasperis. Please go ahead.
Corrado De Gasperis: Thank you, James, and good morning everyone. It's Corrado De Gasperis here, CEO of Comstock Mining, and welcome to our 2017 first quarter conference call. We've completed our first quarter audit review and attached the full income statement, balance sheet and cash flow statements with today's release. If you don't have a copy of today's release, you'll find a copy on our website at www.comstockmining.com under new/press releases. We will also file the 10-Q within the next few days, with no new issues or any issues at all for that matter to report. My comments today will be more forward-looking, as the past few months have been increasingly active with strategic activity focused solely on share appreciation and I'll explain that better on the call. We will keep the same format in the call and I will be available for Q&A after the prepared remarks. Accordingly, any statements related to matters that are not purely historical facts may constitute forward-looking statements. These statements are based on current expectations and are subject to the same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in the reports filed by the company and the SEC, and in this morning's release, and all the forward-looking statements made during this call are subject to those same and other risks that we can't identify. Alright, starting with our last Board meeting in March, we completed a series of strategic planning activities and we established a very focused and precise goal of delivering $450 million to $500 million of accretive share value to our shareholders in the next 2, possibly 3 years. This was done by thoroughly assessing our mineralized land package, its potential, our capabilities and competencies for developing those properties, our capital resources, serious and deep accretion versus dilution analysis and understanding and many strategic alternatives that are available to us. We compared the values using today's comps for companies that have 2 million-plus ounce resources of gold and the proven potential through feasibility study to produce up to 100,000 ounces of that gold per annum for at least 10 years. In that analysis, $450 million to $500 million was a midpoint comp, meaning we believed it was more than achievable for our assets. There are some recent comps that are even higher than the medium, despite the down nature of the current market, but we have a very specific and intermediate goal, again in the next 2-plus years to deliver what has to be $2-plus per share. Once achieved, we can reassess and expand the goal, but it was a critically focusing planning process, it was a critically focusing step, and with all of the restructuring, refinancing, environmental, social and permitting complexities behind us, it's a step that gives us a clear path forward. It also allows for the possibility of developing some of our targets ourselves, as we're planning to do with Daney, and as you've heard, and wherever that makes the most sense, but also potentially venturing in other projects with others, where their competency and their capitals make more sense, is not dilutive and it is all aligned with achieving that same value goal. We've already accelerated these venture discussions - these joint venture discussions, we've accelerated land sale activities and we've really - based on all the progress that we've made, anticipate the transaction, or transactions here in the second quarter, which means just in the next couple of months. Let me highlight some of these recent activities, now that we're almost solely driving towards these values. As I mentioned, we commenced and advanced multiple negotiations with various joint venture partners associated with our mineralized and certain other properties. There are at least four serious discussions progressing now and I'm confident at least one, as I just said, will be consummated in the second quarter. We also have commenced taking mineralized samples and advancing metallurgical column tests for the feasibility of the Dayton Mine. We completed a successful column in the first quarter and we now have four metallurgical column tests running that support and advance the feasibility study associated with establishing proven and probable reserves at the Dayton Mine. We plan on drilling out that Dayton Mine plan later this year and publishing the full feasibility by the end of the year, but these column tests, these four large metallurgical column tests are a critical component of that. The column tests are actually running both parallel with cyanide and non-cyanide materials and are being processed onsite in our metallurgical labs through federally funded research grants with our partner Cycladex, which is a strategic industry that we had mentioned previously and the work is really driven towards faster, cheaper and safer leasing solutions. We already know we have feasible cyanide solutions, but we're pushing the envelope to see if we can get faster, cheaper and safer alternative leasing solutions as we go forward. We think we'll have some preliminary results from these tests in about 6 to 8 weeks. As part of our refinancing activities, we also completed an independent full surface and mineral property title review confirming, I think, frankly what we already knew internally that we have four clean and unencumbered titles on all of our 8,631 acres. The review was done by independent certified land professionals. It was done efficiently, because we had a lot of that information organized. But really what it did is, put a very, very strong stamp on the clean, unencumbered, and when I say unencumbered, I mean no encumbrances, no claims, no liens, no royalties that we would otherwise been aware of on all of our properties. And what it really does is position us, as we go forward, with the potential joint venture discussions for a very fast, diligent, certain outcomes. And so we're very pleased to have put that work behind us. It was a requirement of our financing facilities, but I think we're going to get some tremendous value from that effort going forward. Regarding our land sales, it's really impossible for me to exaggerate the current flow of economic activity in Northern Nevada. As most of you know, Tesla is ramping up their construction of the Gigafactory. There is still $4 billion to be spent between now and 2020. They've added 1,000 jobs just in the past 6 months and have ultimate a target of more than 6,000 jobs. It's interesting, yesterday, on their conference call Elon Musk was updating on the Gigafactory and was prodded by JPMorgan analyst about what the ultimate intentions of the factory were, because of its size. And I was surprised to hear him say that the building design can hold three or maybe four Pentagon size buildings. I guess I was understating it, because I kept telling people that the building was bigger than the Pentagon, but apparently it's 3 or 4x that. And just as meaningfully, Google announced a 1,200-plus acre purchase for $30 million yesterday. Google's purchase does nothing, but further support the property values we've been articulating. It's 3 miles closer to our Silver Springs industrial properties and the Gigafactory is, which is very close already, being about 12 or 13 miles away, straight up the road. Apple yesterday announced that they were taking a large, long vacant lot in Reno for a large purchasing and distribution center. Coincidentally, or maybe not so coincidently, Apple announced today that they are committing a $1 billion in funds to create US manufacturing jobs. I'm pretty sure some of those jobs are coming to Northern Nevada. So all of that is direct in terms of the value that it means to us, it means to our ability to monetize these non-mining properties. But I guess the biggest one, the biggest, most important catalyst and value driver for us is the fact that the USA Parkway, which connects all of these integrated highways right through the industrial park, right out through to our properties in Highway 50, remains on schedule for completion. And again, right through Silver Springs, where our certified industrial property and water rights reside. So, for us, during the latter part of the first quarter, meaning March, and more recently, the increased visits, discussions about purchasing, venturing, leasing these properties has literally increased exponentially. I've had no less than 15 calls in the past two-weeks. We've had visits over the past month. We have two site visits scheduled just for Tuesday and Wednesday of next week, both on the Ranch and the industrial park. And I really have been telling people that - and I expect the period of June through November when we're going to see this USA Parkway come to fruition as being the most - likely the most probable for us to monetize these assets. Again, it's difficult to exaggerate, I don't exaggerate it, it's hard to understand, unless you come and visit. And when people come and visit, they leave stunned. From a financial and liquidity perspective, as we mentioned, we completed our strategic financing early in the first quarter. We also completed all that title work that followed it successfully. It really was designed to ensure our near-term liquidity and more than anything, give us long-term debt position with almost no current maturities, less than $400,000 of current maturities in front of us. So we're very happy with the fact that we've stabilized things. We do have access to capital safely, if we needed to bridge to these transactions, be it the landfills or the joint ventures, all of which provide liquidity to us, and so we're stable in that regard. It doesn't seem like the market or the share price reflects that. I tell you in that regard the market is not right. People are betting against us in that context. That's not the right bet. We have seen junior miners go up and down in value dramatically, we don't like it, we don't appreciate it, but we're focused on turning it and we're committed to doing it. One of the ways that we're committed is that we have accomplished the lowest possible and frankly, not lowest possible, but an extremely low and even lower possible cost position. If you look at our quarterly results, we see the results of those prior-period restructurings. Despite having some non-recurring costs in the first quarter, we had general and administrative expenses reach a record low and representing a 40% improvement when comparing quarter-on-quarter, as those costs continue to come down. We actually saw record lows in our small, but relevant real estate subsidiary. In fact, we turned to GAAP profit for the first time with our real estate and we've been cash profitable there for about five quarters now. So we're very happy about that ability to maintain itself, as we look to monetize it further. Our environmental costs were low, very low, but flat. They were flat, because we had to spend about $200,000 on extreme weather mitigation tactics during January and February. With hindsight it seems funny, although it wasn't very funny during a 6-week stretch there, the last 2 weeks of January, first 4 weeks or all of February. We had no less than four 100-year precipitation events and that really required us to mobilize and really manage and mitigate all of our processing facilities, our water management, our ponds, which we did effectively and fully compliantly. Although we had to spend about $200,000 during that period to do it, most of it was on equipment, be it evaporating equipment or larger pumps, those kinds of things that we certainly are still using, we'll use through the summer, can reuse, or sell, if ultimately we don't need them going forward. But we are very proud of our team, really responding and reacting and we're very proud of the engagement with the county and the regulators and it just shows the strength of both conviction and character that we have on our team. Overall, our cash on hand was a little under $0.5 million. I want to address that head on, because we're purposely maintaining our cash balance at around $0.5 million. It could be higher. We could range it between $0.5 million to $0.75 million. But all we're doing is just maintaining, so that we can bridge through these monetization events, right. We have no gun to our head, we have no crisis and we have big transactions that are in front of us that are going to come to fruition, enable our liquidity and allow us to move forward in very good due process. Our long-term debt overall is $11.5 million. I think as most of you know, the intention is to fully pay that off with the land sales and the fact that only about, as I mentioned earlier, $400,000 being long-term, I mean, being short term, the rest of it's all long-term, meaning four years out, it's probably the most positive result of that recent refinancing and those efforts just to stabilize the operation and protect this incredibly hard fixed-asset position that we have here that we believe is extremely valuable. Just to recap it, we value our mineral potential between $450 million, we value our non-mining lands alone, just those three pieces, at over $50 million, and frankly, as we look at our whole land package, excluding minerals, we come out with a downside of $6 million and an upside of well over $100 million, just based on the local comps. And those numbers are going up. So this is a hard asset, fully owned, title clean, proven mineral is the state that we are now fully focused on just unlocking and delivering that value on. So the next two months we'll be extremely active. I'm spending all of my time doing it. Other than marketing the company and targeting some new investor dialogs, I'm actually at Mines and Money Conference this week here in New York, the rest of my time is focused on selling JV and developing and driving towards feasibility as fast as possible. So James, that's the end of my prepared remarks. If you would like to turn it to the Q&A that would be excellent.
Operator: Thank you Mr. Gasperis. [Operator Instructions] We'll take our first question today from James Dell [ph].
Corrado De Gasperis: Hi James, how are you? James you out there?
Operator: Mr. Dell [ph] please check your mute function.
Unidentified Analyst: How about this, you can hear me now?
Corrado De Gasperis : That’s good.
Unidentified Analyst : Alright. Hey, what's going on at Lucerne?
Corrado De Gasperis: Lucerne is one of the areas that we're very active in terms of these joint venture possibility discussions. So, we haven't done any - everything is stable, everything is permitted, everything is infrastructurally in place. No change there, but we're looking at catalyst to try to accelerate the exploration and development of putting that mine into production. As you know, there's two sides to that one. One, it needs some real drilling and development, it needs some underground - real underground and broader development competency. But on the flip side, it's fully permitted and doesn't have to worry about that aspect of lead times just going back into production.
Unidentified Analyst : Okay. Now the second question for you is, what gold and silver price are you predicting or projecting for your future share value?
Corrado De Gasperis: Our models have all sort of landed on, like an $1,150 number and I think that's just sort of a view of recent reality, maybe a little bit of conservatism, just in terms of how we model and how we project and how we look at feasibility. Having said that, the Dayton Resource, which from a surface mining perspective, is a much higher grade than Lucerne was, has economic pit shell signed, as well as $800 in terms of gold equivalent cut-off. So the higher the grade, the lower the cost, the more economic it is overall and the more economic it remains at lower gold prices. So, I think what I'm saying is that although we have this sort of base, 1,150, 1,200 kind of base, that is sort of a consistent way to analyze and compare. Anytime we do feasibility, you're ranging it way down and way up.
Unidentified Analyst : I got you. So if we return to $1,900 an ounce gold, it would be a whole lot better?
Corrado De Gasperis: If we return, we don't think that that's an if question, by the way.
Unidentified Analyst : I know; either do I.
Corrado De Gasperis: But the dynamics there in terms of cash flow and value creation is exponential. It's not a percentage increase, it's multiples.
Unidentified Analyst : That's how I'd figure.
Corrado De Gasperis: We were very keen on that aspect of the future, now that the entire district is entitled, permitted and has been legally tested all the way up to the Supreme Court in terms of our rights to explore, develop and mine. So now it's a much bigger pie that A: we've successfully protected, but now we need to get our [indiscernible] here and start developing.
Unidentified Analyst : Amen.
Corrado De Gasperis: Thanks Jim.
Unidentified Analyst : Alright, take care. Congratulations, keep doing the great work and good luck on these JV issues.
Corrado De Gasperis: Thank you.
Operator: Next we'll hear from Harvey Modca [ph].
Unidentified Analyst : Hi Gasperis.
Corrado De Gasperis: Good morning.
Unidentified Analyst : Cycladex, you say is a strategic investing. What kind of positions have they taken with the company?
Corrado De Gasperis: So it's vice-versa. We have through allowing them to use some of our metallurgical lab facilities and allowing them to use some of our ores for the subject of these process tests, we have earned a 10% interest in their company. It wasn't ownership for cash; it was ownership for support and services. And what's really evolved, which is kind of exciting here, is that they have a patented process that we're testing with them for non-cyanide processing solutions. The target is to be cheaper, faster and yield equal to or better. And on the last point, we're seeing good success, really good success. On the other two points, we haven't really tested sufficiently for, but it's very promising. So, what's sort of evolving here is that we will be able to do the testing necessary for the Dayton Mine planning. I hate sand, somebody else's nickel, but with federally funded money, trying to prove out a new science, but at the same time, we already know what we can do a cyanide, but we're running additional tests with cyanide, both to confirm what we need to know for our normal feasibility, but also to run parallel and really have disciplined scientific method for looking and comparing the results of these two. Ultimately if this stuff works, it wouldn't only be great for the Dayton, but it will be much, much bigger than even what we're talking about for the company. So it's still earlier stage, but the science is - it's moving forward and now it's starting to move forward rapidly, because we've got four columns. And we've got, I don't know if this is common enough for a junior miner, but we've got full metallurgical, full assay, fire assay, all sorts of testing, crushing, metallurgically testing facilities onsite. And so with really no cost to us, they're able to leverage those facilities and give us the benefit of doing it all with our ores.
Unidentified Analyst : So we have a 10% investment in their company. They don't have a pay position in our company?
Corrado De Gasperis: No. And they would be best described as a technological start-up, but with some really good technology. So we're seeing if we could help them with the launch here.
Unidentified Analyst : Okay. Could you repeat the land values that you're saying versus the mineral values per share?
Corrado De Gasperis: So from a total company perspective, and I'll be a little careful with this, just to make sure I highlight the potential for any redundancy. If you just take our mineralized land package and so now I am going to exclude the lands that we've listed for sale and just look at the contiguous mineralized package, and if you look at them with a skeptical eye, to be extent that some are bordering and vastly across Highway 50, some of them are in the residential areas of Gold Hill, into Virginia City, some of them are in the secluded valley, industrially zoned valley of American Flat, and you just said to yourself, well, what would these properties be worth if we weren't mining here, if we didn't have minerals here, it's not totally an academic exercise, but it was taken with a very narrow eye. We come up with values and you can only share kind of further, but we were trying to be conservative of like $60 million on the low end and almost double that number on the high end. The reason for that range is that you make some assumptions on, hey, if you're just going to sell block acreage or if you're going to do some subdividing or if you're going to go as far as entitling and pre-developing, you go from block acre comps, to parcel comps, to square footage comps. And they're all real. They are all real and they're all local.
Unidentified Analyst : So once the minerals have been taken out, these are values that are saleable, is that correct?
Corrado De Gasperis: That's the conversation I like the best, because that's what we've always spoke to, even though I think people dismissed it. The way I was being sort of challenged on these land values was more from a downside perspective, or a liquidation perspective kind of mindset, which was a good answer anyway. But I've encountered and say look, that's been the long-term view all along, if we're responsible and if we're reclaiming the way we're supposed to be and going beyond, it's our land. And then what is it worth later. And obviously if you were mining in the Carlin trend, in the middle of nowhere, these opportunities and prospects wouldn't be on your mind. But if you're in the area that we're in, it's very real, it's very real. And so you could look at it separately, you could try to separate the two and just do it academically, or you could think of it sequentially and say, there's two layers of value here, and all the way on that journey there's tremendous downside protection, no matter how you look at it. From a mineral perspective, it's a little more complex, but it's not really that complex. The complexity is, what's the nature and character of your resource in terms of ultimate feasibility. So you think about the grades, you think about the proximity to surface and strip ratios, you think about the metallurgy, which in our case is, it may be the best in Nevada when it comes to heap leaching to get almost 90% of the gold and 50% of the silver. And you say what is a 2 million ounce resource? And I'm saying 2 million, because we are looking at measured and indicated resources. We've got another million-plus of inferred, but just looking at the measured and indicated resource, what do people value that and it's always tied to potential mineability. And so, a very early stage, non-permitted, non-tested resource. I mean, if it was only inferred it could be like as low as $20 an ounce or more. If it's measured and indicated and still not well tested, it could be $50, $60, $70 an ounce. And again it's an educated estimate of feasibility. You're looking at the variables that say is this mineable or not. If it's fully permitted, you've proven out the metallurgy, you've mined, you've mined successfully, you see the comps pushing to $100 an ounce. And if you have a long-lived mine plan that's fully validated, which we're one step away from, you will be at the highest end of that for sure, if not higher, when it comes to some takeout comps. So, we looked at a bunch of companies that were not producing. We looked at companies that have good property positions and good resources that were not producing. We looked at some that were producing with challenged long lives. We looked at some with really excellent long life. And we put all that together and said, if we get to 2 million-plus ounces and the real profile, be it individually or in the aggregate, Lucerne, Dayton together of doing 100,000 ounces, what are we worth? And that's the number that keeps coming up on our radar screen. And so we banged our heads against the wall, shake it off and say, let's focus on delivering this value. So to the extent that we had some distractions with restructurings and refinancings, we feel badly about that. To the extent we couldn't ramp up Lucerne real time without a disruption in the production, we feel badly about that for ourselves and our shareholders. But to the extent that all of that platform is in place, all that platform is permitted, it's all entitled, and we just need some focus on which way to develop each, and if we can use partners to accelerate it and still accomplish what we're talking about. So when we say we'll do a joint venture, if you're talking about being able to produce 40,000 or 50,000 ounces on your own and you think of a partner who can get you there, 80 to 100 faster, then that's accretive. And those are the kinds of things that we're looking at. So I think the work by the Board was outstanding. I think it was incredibly diligent. I think that we don't have a promotional bone in our body that isn’t fear, like everybody wants to get to the substantive right answer the right way, so that it's sustainable. And I think when you look at - and it's interesting, some of the dialog we've had with these potential joint venture partners, and I think I've said this before, but one of the most impactful comments to me, we're looking at four or five different projects, they are all potentially really big. So they need to be big to move the needle for us. Year one into five, but the rest of them are all 7 to 10 years away from production and they don't have their permits and they haven't proven their metallurgy and they still have drilling and development to do. And we want to be part of that drilling and development. But having said that, you have all those other variables covered and you are potentially two years away from production. So, I think that's to me a very important comp mindset, and it's our failing. You've got companies out there that are 7 to 10 years of production, nowhere near the resource we have, at least half a dozen serious obstacles that are technical to production. And then we have this clear 2-year path and we're undervalued. There is no question about it. So we have to prove it's feasible. We can't just say it, we've got to prove it, we've got to show it. With partners, maybe we could accelerate it, I think so. And that's what we're going to do here in the next 2, 3, 4 months.
Unidentified Analyst : What's the cost of the joint venture?
Corrado De Gasperis: We're in the middle of certain discussions, they vary. Some of them are different than others, but the model that we like is where someone pays for the right, pays us cash for the right to do some development, the development goes into the ground, the development results in something stronger, bigger, more credible, real values being created and then there is the potential to earn in to a portion of that project, expending those monies. The idea is that whatever portion remains for us on that one target is worth well more than everything we're doing so far. So it has to be a win-win, of course, and has to be value creating. But I think that to the extent that we have - we have four immediate viable targets. The Lucerne is permitted and it could be ready for production. The Dayton is near term for production. And then the Spring Valley and Occidental, I mean if you put those into any one company on their own, they would rival most of the juniors that are out there. So, we need to unlock that value. We need to somehow break that ceiling and unlock that value and make sure the people understand it. We're going to do it diligently, we're going to do it properly, but we're going to do it.
Unidentified Analyst : Where is the American Tunneling in all of this?
Corrado De Gasperis: American Tunneling is the backbone - American Mining and Tunneling is sort of the rear engine that helps drive these things to fruition, because they have the Nevada manpower and they have the competency, in particular when it comes to underground. So that relationship that we have with them is absolutely solid. It's absolutely intact. It just hasn't been affected, but when we're ready it's there for us to effect.
Unidentified Analyst : Last question is, what's the value of the land sales that are actively on the market?
Corrado De Gasperis: We put that at about $15 million. And it breaks up very easily to $10 million for the industrial and water rights, $4 million for the Ranch and about $1 million for the Hotel; $15 million.
Unidentified Analyst : Okay, thanks Corrado.
Corrado De Gasperis: Thank you, sir.
Operator: [Operator Instructions] We'll now hear from Lawrence Danny [ph].
Unidentified Analyst : Good day Corrado, how are you?
Corrado De Gasperis: Fine, thank you. How are you?
Unidentified Analyst : Good, good. So I heard the part about the potential joint ventures, is there any potential that you'll go back into production without a joint venture partner and what would the price of silver and gold need to be to make that feasible, or is that kind of off the table?
Corrado De Gasperis: No, no, no, just to be clear, so we have four target areas between the Lucerne with established resource, Dayton with the established resource, Silver Springs with known mineralization, no estimated resource here and Occidental with known mineralization and no established resource yet. Okay. So literally you've got four areas at slightly - not slightly, but at different stages of development towards production. And so what we're saying is that to the extent that a partner could help us accelerate, one of those, we would be very keen to listen to it relative to the value they bring to us and our shareholders and relative to what we could create more together. Having said that, like for example, with the Dayton, and Spring Valley is the third of the four areas, but it is also interconnected with the Dayton. So when we think about the Dayton/Spring Valley, our current plans, and we're not necessarily precluding. Our planning process really said what's the best, most sustainable, fastest way to accrue this value. So, we would consider any option that's consistent with the goal of the plan. But right now the Dayton/Spring Valley is what we are literally doing ourselves, we're driving forward ourselves. And we believe, from a complexity standpoint, it's the lowest. In other words, we have the simplest, most direct path to develop that resource into reserve and into production. So, I didn't mean to confuse that point. Even though we are considering a lot of alternatives and there's forward discussions that are engaged, we're absolutely controlling - owning and controlling the whole district and likely developing these projects, many of them on our own. We are just open to any alternative that is better, faster, smarter.
Unidentified Analyst : So they would help you from both a financing point of view and technological point of view, is there where the real value would be?
Corrado De Gasperis: Absolutely it is. A, financially money to be us; B, technically, there are technical teams on the ground; C, value creation wise, they can get and unlock the value of these resources bigger and faster than we could. If we see that as being credible and real, we're inclined to do that.
Unidentified Analyst : That makes sense. So is there any magic number on the price of silver and gold to make it feasible and where your margins are profitable, so you're engaged in that or could that be done at the current gold price and silver price?
Corrado De Gasperis: Both of these resource areas are extremely attractive at the current gold price. The Dayton, because of its higher grades in your surface could be attractive at prices - it would be a smaller mine, but it would be attractive at prices as low as $800. We're taking a longer view on it, which is we want to establish sound feasibility, let's say, in that $800 to $1,200 range from a downside perspective, sound feasibility, which means you can build, but we also have now created a platform whose cost, which by the way has a derivative benefit, and I didn't mention, to the extent we're doing any venturing, our fixed costs probably get subsidized to some degree, because we have to be involved in some of that work. So even in a low cost that we brought our platform to, would go even lower if we were able to engage a partner and work collaboratively with him. It's a little counter-intuitive, but it works to our advantage. So to answer your question, we want to be profitable at those levels. And let's even say a $1,000 to $1,200 is a really hard sort of zone. It's got to be profitable at those levels. And then we want to retain the optionality that we have on almost 7.5 miles of mineralized strike, much of it won't be developed and produced in the short term. And so to the earlier caller's notion about $1,900 or $2,000 gold prices, we're going to retain the option, we're going to protect the option on that as well. So, we want to generate cash, we want to be accretive, but we also want to protect the option on the broader districts, because it has been re-zoned, it has been re-entitled. It is property-right protected for its highest value use, which is mining activity.
Unidentified Analyst : Sounds good, thanks.
Corrado De Gasperis: Thank you, sir.
Operator: Thank you, ladies and gentleman. The time allotted for questions-and-answers has come to a close. I now like to turn the call back over to Mr. Gasperis for closing remarks.
Corrado De Gasperis: I want to thank everyone, I guess, say, for your patience. I think all of our patience has run out. I hope this call is supportive of the fact that our patience has run out and we're actioning. So we're actioning forward. I look forward to a lot of updates over the next couple of months. I look forward to be out in the market for the next few months, but I'm also going to be onsite on some of these land transactions over the next couple of months. So, we'll be reporting them as they come due. I look forward to the next update and I look forward to talking to you all again soon. Thank you.
Operator: That does conclude today's conference. Thank you for your participation. You may now disconnect.